Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Freeport-McMoRan Copper & Gold Third Quarter Earnings Conference Call. (Operator Instructions) I would now like to turn the conference over to Ms. Kathleen Quirk, Executive Vice President and Chief Financial Officer. Please go ahead, ma’am.
Kathleen Quirk: Thank you and good morning. Welcome to our Third Quarter 2013 Earnings Conference Call. Our results were released earlier this morning and a copy of the press release and slides for today’s call are available on our website at fcx.com. Our conference call today is being broadcast live on the Internet, anyone may listen to the call by accessing our website home page and clicking on the webcast link for the conference call. In addition to analysts and investors, the financial press has been invited to listen to today's call, and a replay of the webcast will be available on our website later today. Before we begin our comments, we'd like to remind everyone that today's press release and certain of our comments on this call include forward-looking statements. We'd like to refer everyone to the cautionary language included in our press release and presentation materials and to the risk factors described in our SEC filings. On the call today: Jim Bob Moffett, our Chairman of the Board; Richard Adkerson, Vice Chairman, President and Chief Executive Officer; Jim Flores, Vice Chairman, President and Chief Executive Officer of Freeport-McMoRan Oil & Gas; and we also have a number of senior executives in the room today with us. I'll briefly summarize the financial results, and then turn the call over to Richard, who will be referring to our slide materials located on our website. As usual, after our remarks, we'll open up the call for questions. Today FXC reported net income attributable to common stock of $821 million or $0.79 per share for the third quarter of 2013 which compared with $824 million or $0.86 per share for the third quarter of 2012. The third quarter of 2013 results included net charges for unrealized mark-to-market loses on oil and gas derivative contracts totaling $98 million to net income or $0.09 a share. As you’ll see, in the third quarter our results benefited from a return to normal operations at Grasberg and we had a significant contribution from a full quarter of results from the recently acquired oil and gas business. Our consolidated third quarter copper sales totaling over 1 billion pounds were 13% above the year ago period. We had higher production throughout our global mining business. And our gold sales were 50% above last year’s third quarter because of anticipated higher ore grades in Indonesia. Our third quarter sales of oil and gas totaled 16.5 million barrels of oil equivalent. That was about 10% higher than our July 2013 estimate of 15 million barrels of oil equivalents. That primarily reflected, as Jim will be talking about, strong performance in the Eagle Ford and the deepwater Gulf of Mexico fields. Our third quarter 2013 average recorded copper prices of $3.28 per pound were below last year’s Q3 of $3.64 and gold prices of $1329 were approximately just over 20% below the year ago quarter. Oil prices were strong in the quarter with rent pricing averaging almost $110 per barrel and the realization by oil and gas division oil realization was $106 per barrel before hedging impacts. Generally strong operating cash flows of $1.9 billion in the quarter, that was net of about $300 million in working capital uses and our operating cash flows exceeded capital expenditures of $1.6 billion during the quarter. We ended the quarter with total debt of $21.1 billion, which was similar to our June 30 balances. Our consolidated cash balance totaled $2.2 billion at the end of September and that was reflecting a $1 billion dollar supplemental dividend which was paid during Q3. I would now like to turn the call over to Richard who will be going through the slide materials.
Richard Adkerson: Good morning everyone. You have heard us talk about all throughout 2013 about the word execution and that’s been the theme for our management team as we’ve combined our new oil and gas business with our existing mining business and what’s so good about this quarter as you saw the first full quarter of oil and gas operations. We had strong execution across all of our business. And that's really what we're going to be focused on going forward. Kathleen talked about the strong margins and cash flow for the quarter. And that reflected solid operating performance from our global mining business and particularly important was the improvement at Grasberg and its operations as it is now returning to more normal grade access because of our mining sequencing and improved operating performance at that important asset. Really happy to report that today in Indonesia, our last night, we signed our CLA agreement for the next two years. The good news with that is that we avoided any kind of work stoppage, the strike two years ago was a major negative for all the stakeholders involved there, and with this new CLA agreement, we are going forward on a more positive basis with our workforce in general and with the union. Both sides are -- while neither side got everything it wanted, both sides are very happy with the results, and it’s an important step for our company. The quarter reflects a significant contribution from our oil and gas business and that's very exciting. Jim is going to be talking about the details of that in a few minutes. Our expansion projects and our mining business progressed. The Morenci expansion is on track for completion in the first half of next year. At Cerro Verde, we have completed 70% of the engineering; construction is in progress. I visited the operations a couple of weeks ago and it was good to see the groundworks making great progress and we are starting physical construction, ordering equipment and going forward with that project. In the oil and gas area, the Lucius development is progressing so that we would have first production next year, and that's a very exciting project and really a precursor for other things that we can be doing from an exploration standpoint, the Deepwater Gulf of Mexico. We are continuing to emphasize throughout our operations the need for cost and capital discipline, and that is a theme for all of our efforts in these marketplaces and the cash position, debt position that Kathleen talked about reflects the fact that we paid $1 per share supplemental dividend 1st of July. And looking at the financial highlights, which for your information, are included on Page 4 and that Kathleen talked about it, reflects the strong volumes, the improvement in our unit cost situation from a mining standpoint. Net unit cost was now -- for the quarter was below $1.50 a pound . So we have high margins there, down from $1.85 in the second quarter. And then we have strong volumes, very strong margins in our oil and gas business, 90% of that revenue is driven by oil products. And that gives us the kind of strong margins that we have. From copper market standpoint, I was at APAC and Bali and then LME week and there was a lot of talk about Asia, economic activity and the levels of demand. China remains, of course, the important global user of copper and the source of copper growth globally. The demand in China during this year has been stronger than many people expected. The Chinese are confident about their economy going forward, and all our indications from our business there is optimistic. What we're also seeing is improvement in the U.S. demand in sectors that are important to copper usage. Construction, both residential and commercial, automobile activity is very positive and despite all of the political uncertainties associated with economy, our business and our customers’ business in the U.S. in the current conditions is progressing well. And we're seeing some initial signs of improvement in Europe through some demand activities. Globally premiums for our downstream copper usage are strong. Consumer inventories remain low and the demand side is positive. Many people are pointing to copper supply issues, and as Grasberg and Escondida have returned to more normal levels of operations, that's providing more copper, there are some development projects that are going to be coming on stream in the next two years. But the projected surpluses that people are pointing to are small in relation to the overall marketplace and lots of things can happen that would change that outlook, as it has over the past 10 years when we've seen copper supply continually underperforming expectations. And longer run, the delay in projects, companies cutting back capital points to a supportive supply situation for copper in the long run. And we remain very optimistic about that. The Slide 6 shows our unit costs by region and our sales by region. During the third quarter, we saw improvements in every region where we operate, most notably at Grasberg, as it has returned to high grades and more normal operations. And as we look forward, the higher volumes at Grasberg as we complete mining from the open-pit over the next few years will be very supportive of our overall cost structure. Volumes performed well, particularly in North America Red Congress here, as I mentioned Grasberg. We had a very strong quarter in Africa, even though at the very end of the quarter we and other miners there were affected by power deliveries. That's something we're working with the government on to rectify but our team there is doing a great job in running the business and managing the mining and logistics operations there. We were short of our expectations even though volumes are up in South America, because of ore characteristics both at Candelaria and El Abra. These are kind of short term issues that we manage our way through. It was a good quarter with our volumes up, just weren't up as much as we had initially expected. And we are working to deal with that as we go forward into 2014. The oil and gas business has its regional operation results summarized on Page 7. You can see very strong margins. California, historically, a high cost place to operate, with the kinds of levels of global oil pricings and the nature of our revenue realizations there. It is a high margin business and then you look at the Eagle Ford, the onshore South Texas shale play and the Deepwater in the Gulf of Mexico, you can see just how attractive operations are in that business. And then from operating results, California was on expectations, Eagle Ford which with its gas liquids production averaged 46 million a day. The operations there went very well and the deepwater outperformed. We benefited from the fact we didn't have -- we had a quiet storm season through the end of September and no interruptions there. But overall it’s really gratifying to see just how well our new business activities operated there. Grasberg, you can see on Page 8, the details of my comments about returning to more normal levels of operations where our mill rates was 200,000 tons a day. Copper grades were essentially at our reserve grade levels, and our unit cost levels were down from that. We expect a strong volume situation going into the fourth quarter. We're going to have some unusual sales activity in that quarter. We're expecting we'll have a fairly large intercompany sales deferral because Atlantic Copper had been engaged in a turnaround that occurs every eight years. That's been completed but it will result in some deferrals of inter-company sales during the fourth quarter that we think will have an impact of about $0.05 a share. But operationally, we are anticipating a good quarter and we are certainly off to a great start this year -- I mean, this quarter in October. Our projects, which I mentioned at the outset, are going well. The Tenke project is essentially complete other than adding a new asset plant there that was project was own time and within budget and it's a very difficult place to achieve that kind of performance and Cerro Verde is progressing as is Morenci. Our exploration activity continues. It reflects what we've been doing over a long period of time. We are analyzing results from the extensive amount of core drilling that we've done over the past six years. Our actual budget for next year is down and that just reflects the nature of where we are in the process -- lack of emphasis owned exploration. The real underlying strength of this company has to do with our prudent and probable copper reserves, which $2 mine plans are over 100 million pounds and then resources beyond that which have already been identified beyond those proved reserves is another 100 million pounds and that gives us the ability to have very a long life continuing production and the opportunity to develop new growth projects to run the beyond the ones that we're working on currently. Jim, why don't you take over and let you talk about our oil and gas business.
Jim Flores: Right. Richard, thank you. Good morning everyone. Looking on Page 11, looking at the oil price curve. It's always a great place to discuss the oil business, especially when it's a strong curve. Like what we've seen in the market we feel is pretty stable. You've got a lot of political unrest, you've got a lot of market swings in WTI that we are not experiencing because of our location of our reserves being on the coastal areas of the United States and the Gulf of Mexico where we are pricing at our California spot or LLS off [ph] the Brent pricing. And as you hear more and more about the increases of production coming out of Bakken, the Permian and so forth, they're really going to have widening differentials in the Mid-Con for the United States. And our projects won't be -- have to suffer those differential widenings and therefore we will be able to maintain the margins that Richard and Kathleen alluded to in their talks and so forth, because we believe oil and gas business is a high margin business reflective in the numbers that came out here in the third quarter. We expect to protect that. One of the interesting things when you grow production 10% above your plan, your cost go down because we have a large fixed cost of component to our oil and gas business on the operating side, just like on the mining side. And as production goes up you divide those costs by fixed number and that's why you see our costs going down from $19 BOE to $1680 for the quarter, which is a real big improvements points to the statements Richard made about execution. Execution, execution, execution is where the oil and gas business is really turned on. We have obviously had stronger oil prices to help that margin out as well and the disciplined capital spending and so forth, we obviously stayed within budget. We were able to execute in spite of the awesome task of putting two companies together with a third one in our three-way merger that closed in June 3. So I can't tell -- say enough about the guys and gals in the oil and gas group build a rally, have an outstanding quarter in spite of all the disruptions of who report to who and who's email worked and who's email didn't. So great job all around there. Looking to Page 12, the operating assets are very consistent as far as we talked about in the transaction and also as far as going forward. You can see where our oil business in California, Eagle Ford and Gulf of Mexico is the focus of our company with almost 98% of our assets. Obviously the gas business is large but with prices impaired where they are like we had forecast, it's a small piece of our business until that market has price recovery sometime in the future. We got the details here with the lot of strong attributes. I'm not going to go through to save everybody some time but the third quarter 2013 operating cash margin of 1.1 billion is a great place to start for this important growth business for the company. Flipping to page 13. The Lucius Deepwater project is one of our significant projects coming on next year. Besides the initial drilling starting in the fourth quarter at our Holstein field in the Gulf of Mexico. This is going to be a very large production add. Our operator Anadarko is working to make sure we have this production timely in the second half of 2014 and all indications that we're going to be able to accomplish that. So looking forward to our 23.33% interest at 80,000 barrels a day and the gas production related to it. On Page 14, you can see more of a pictorial depiction of our deepwater Gulf of Mexico business. You can see our production facilities in red. Those are our large facilities that have a quarter of a million barrels of production capacity running at about 25% right now or 65,000 barrels a day. Remember, our intent here is to take our -- that infrastructure and fill it, and fill it by drilling new wells on adjoining prospects, adjoining leases and our existing field by redeveloping it. That's what our business plan is all about and those are the projects in blue that we plan on subsea tie-back into our infrastructure. Great rate of return projects, 50% to 60% rate of return projects. This is the cornerstone of our CapEx budget in the oil and gas business. On top of that we have our Lucius project in green, our Phobos discovery that we will be looking at developing for the later part of this decade. Those are both Anadarko operated and there’s a little star over in the left called Terra as an exploratory project that's very high potential like Lucius that we're going to be drilling mid-year with one of the drill ships show up about the second quarter. So stay tuned for some exciting results from that. Speak of exploration on Page 15, our ultra-deep activities. We continue to lead the industry here with several great partners like Energy XXI, Moncrief and Chevron. We are in the process of moving in the completion mode. The production test of Davy Jones 2, Lineham Creek and Blackbeard West in 2014. We're drilling a very significant exploratory well in Lineham north and we're looking forward to getting those results hopefully by year end. At same point in time we've got one to two wells planned next year to really capture the exploration phase of this project. And then we'll have to evaluate how we want to develop it and at what timeframe basins to be more responsive to what the gas price is doing. And we've got plenty of time, we've got the resources obviously to do it. Richard, that's brief but it is of my kind of taste [ph] and I will turn it back over to you.
Richard Adkerson: Thanks Jim. All right. Putting this all together and seeing what our outlook is for 2013, our sales outlook continues to after adjustments around the 4.1 billion pounds of copper. Our goal is 1.1 million ounces for 2013. Again, this is essentially rounding for adjustments of 92 million pounds of molybdenum and 37.5 million barrels equivalents for oil, that's up a bit from our previous guidance. Kathleen reminds me, which I think Kathleen, we are always doing when I was talking about Eagle Ford, I said millions rather than thousands. So make sure that we are talking about thousands of equivalent barrels there at Eagle Ford earlier. Our unit cost continues to be the same. We are working to try to constrain costs, increase volumes and our unit cost for oil is down a bit with our positive operation results. At 3.25 copper, that would give us operating cash flows in the range of $6 billion and that's after a $300 million working capital use. That number always moves around till we get to the end of the quarter and each $0.10 change in copper for the remainder of 2013 is a $90 million variance in operating cash flows. Capital expenditures continue to be estimated at $5.5 billion. Then as we look forward to production volumes over the next two years beyond 2013, you can see increasing volumes for copper and the 2015 reflects the target that we've had with our three expansion projects and the restoration of Grasberg more normal levels to get up in the 5 billion pound a year range. Gold volumes reflect again the positive situation at Grasberg and the growth in oil production reflects solutions and other improvements in activities there in the offshore. And then if we go beyond 2015 we see really significant growth continuing. Unit production cost situation on Page 18 we have shown the details of where that is. It’s essentially really in line with where we gave guidance in the second. And then our sales by region are outlined at the bottom of the page. Again the volumes are consistent with previous guidance, we have worked to beat it. Our EBITDA and cash flow models are shown on Page 19, showing variant copper prices from $3 to $4 and then with for '14 and '15 averages EBITDA ranges from $10 billion to $15 billion and operating cash flows from $8 billion to $11 billion. Then the increases that comes into play in 2016 which is very significant, shows 45% increases there as we get our projects on stream and get those additional volumes in place. And you can see how that varies with copper prices going with EBITDA $15 billion to $21 billion in operating cash flows, net of taxes and cash interest of $12 billion to $16 billion. The sensitivities that we present for your use are shown on Page 20. Big sensitivity, of course, is copper prices where $0.10 means $325 million of operating cash flows on an annual basis. Our capital expenditures are shown on Page 21, showing roughly $4 billion a year for '13, '14, '15 and oil and gas CapEx 2.7, 2.9 for the next two years, again in line with our funding from its cash flows. After 2015 mining projects will drop off with the completion of Cerro Verde to our CapEx will drop off, our volumes will increase and we'll get the benefit of our expansion projects. We remain committed as our Board has instructed us to maintaining a strong balance sheet. We have a good track record of doing that. We have set a target of reducing our debt to a $12 billion level and that's approximation over the next three years. That includes continuing our common stock dividend , it's current $1.25 per share annual rate with our large resource base, our strong cash flows and capital discipline, we can do this. Our board has challenges, find ways of advancing our debt reduction target and we have a great set of assets that allows us to consider a range of alternatives for doing that. That could include things like asset sales, joint venture arrangements, special purchase financing. We are looking at the opportunity for master limited partnership involving additionally some of our oil and gas assets. All those are alternatives that we are working diligently on to see how to advance our debt reduction target. We are in a position where we are not -- we don't have to do anything and anything we'll do will be to achieve – and achieving that target will be done in a way to enhance shareholder value and so that is something that we are working on. End of the day, we have a strong, focused organization on execution, focused on returning -- on generating shareholder returns, managing our base operations to achieve our production costs, manage our costs and do that in a way that provides a safe working environment for our employees and positive results for all stakeholders and communities where we operate. We are looking over the long-run to find ways to invest and grow our business because we have the resources to do it. We’ll do that in a disciplined way that recognizes the market realities, the best uses of cash, the ones that give us our strong returns and where we can execute in a positive way. We’ll protect our balance sheet and our dividends. And I’m very pleased with this first quarter start to achieving all those goals. Jim Bob, we are ready to take questions. If you have comments you would like to make now or we’ll go straight to the question-and-answer session.
James Moffett: Let’s just go right to the question.
Richard Adkerson: Okay. Well, operator. If have a queue here. So, let’s start with questions.
Sal Tharani – Goldman Sachs: First question, Kathleen, quickly on interest expense, it appears to be a little lower than at 4.4% average cost you mentioned. Should we consider that as going forward or was there anything special this quarter.
Kathleen Quirk: I don’t think there is anything special in there, Sal. There is some interest that gets capitalized but I think the quarter is reflective of where we are with our current debt position.
Sal Tharani – Goldman Sachs: So, if we assume that remains the same, we can use the same ratio going forward.
Kathleen Quirk: Right.
Sal Tharani – Goldman Sachs: Okay. Thank you. On the Grasberg, Richard, you had given some number in the past, what was the cost of labor was in that total production. And I know you have a new contract where, obviously, you probably offered some incentives. I’m just wondering if – how should we look at the cost for next year and the Grasberg side?
Richard Adkerson: Well, our base rates that we agreed to was to increase base salary rates by 10% this year and 10% next year. There were other features that were built into our package that aren’t included in this package this year. Our labor cost are roughly 25% of our total cost and so they will be somewhat higher. That deals with our union workers. There is a ripple effect that it goes into our non-union workers, our staff workers and some of our contractors. But we reached a level that. There is a press release out talking about how the union is pleased with it, we’re pleased with it. And considering, Sal, where we came from with all of the very tough issues that we had in 2011 that really carried on all through 2012 in terms of getting people to work together in a positive way this is really a big thing for us, for all, the workers, the community, the central government, everybody there. So, we’re very pleased with it and so our labor cost are going to go up some but within a reasonable level. And what is the opportunity here is that now with a harmonious working relationship with our workforce and with the union – I was out there directly engaged in discussions this year – we’re all committed to finding productivity measures which are certainly there that have the potential for far offsetting any increase in wage cost and we all shook hands on a common effort to achieve that.
Sal Tharani – Goldman Sachs: Thank you very, Richard. I’ll get in the queue again. Thanks.
Richard Adkerson: Alright, Sal. Thank you. Operator: Your next question comes from the line of David Gagliano with Barclays.
David Gagliano – Barclays Capital: I just have a quick one. The production profile beyond 2013, can you just talk a little bit about the slight decline in the copper and the gold sales expectations for 2014.
Richard C. Adkerson: Strictly rounding, Dave. I mean
Kathleen Quirk: Yeah, Dave, this is –
Richard Adkerson: …from our previous guidance.
Kathleen Quirk: Yeah. This is Kathleen. We rounded to four, five last time. And I think the volumes are like £30 million lower to a combination of Grasberg and North American volumes but I just round it down to four rather than four, five.
David Gagliano – Barclays Capital: Okay. Perfect. Thanks. And then just as a quick follow-up, could you give us a little more information about the thoughts around the MLP, obviously there’s been quite a bit of chatter. I’m wondering, given the work you’ve done so far on it, if you could give us a sense in terms of types of assets.
Richard Adkerson: David it's a work in progress. So we're looking at this among other alternatives and it's really too early to give specifics on it. There is a range of opportunities of what we could do with it MLPs have performed so well in the marketplace and of course there are different types of MLPs going from mainstream infrastructure type assets to upstream assets. We have a large asset base that gives us lots of opportunities Jim and I are talking about it we're getting input from people experienced in that business. And so we will report on it as this thing evolves. It's an opportunity and we are going to look at it to see if it makes sense for us.
Operator: Your next question comes from the line of Lee Cooperman with Omega Advisors.
Richard Adkerson: Okay operator. Let's see if he comes back. And have the next question.
Operator: Okay, your next question comes from the line of Michael Gambardella with JP Morgan.
Michael Gambardella – JPMorgan: Congratulations on the excellent operating performance in third quarter. Have a couple of questions. One to the follow-up on Sal's question on the new labor agreement of Grasberg. I understand, Richard, you expect to get productivity enhancement but just assuming you had the new Grasberg contract for the entire third quarter as you just put up. How would that have affected the $1.46 per pound cash cost that you have companywide for your copper operations?
Kathleen Quirk: Mike, this is Kathleen. We spend currently about between $550 million and $600 million a year on our total labor in Indonesia. So if you take 10% you can see what the impact would be in the first year and then another 10% in the second year. We've also got some exchange rate movements as well, which offset some of that. But that will give you a feel for the annual impacts
Michael Gambardella – JPMorgan: Okay and last question I think back in 2001, you had acquired about a 9% additional interest in the Grasberg mine from local Indonesians that ran at some financial distress. Can you talk about the potential? I know you've said it's for sale for past several years. But could you give us any idea in terms of the real potential of selling that in terms of really accelerating your debt repayment program.
Richard Adkerson: Mike, actually it was half of that 9.6% that we acquired it was originally that level but back in the 1990s we'd acquired half of it in the earlier transactions. So it was half of 9.36% roughly 4.7% that we acquired back in that 2001 timeframe, probably seven years ago or more, the government asked us if we would make that interest available to Indonesians on a business-to-business fair market type basis and we have. Over time we've worked to find a structure that would provide the opportunity for the people of Papua, the province and some appropriate structure to acquire that. Those transactions haven't been done. Now in connection with our current contract of work discussions, the government of Indonesia undertook a review of all contracts of work following the 1999 mining law. And we are in the process of obtaining an extension, which we have the rights to for our contract of work beyond its primary term which ends in 2021. We have been engaged for over two years now in discussions of various aspects of our contract with the government of Indonesia and included as part of that package of discussions is discussions about the potential of our entering into two divestiture of additional interest in the PTFI shares. We're looking and think it would be attractive to have a listing of those shares on the Indonesian stock exchange and the government feels very positive about that and potentially transaction involving a sale to the province. And obviously the listing on the stock exchange we provide cash for us and that would assist us in our debt management a sale to province we probably would be some sort of structure where we would assist with financing and wouldn't generate near term cash to us to use. But those are all part of it. I want to emphasize, those aren't independent steps but part of our overall discussions with the government about reaching a mutually satisfactory resolution of the government's review of contracts and our getting an extension to give us surety of our contract through 2041. And we are confident we are going to get there on both scores.
Michael Gambardella – JPMorgan: And would this be a sale of the entire 9.63% or...
Richard Adkerson: Well, no, we're looking at -- that's independent of the 9.36%. This is an overall package that could involve a sale of that -- of the roughly 5% would be one of the largest IPOs in the history of the stock exchange. So it's an overall package that involves something independent of this 9.36% interest. And as I said we already own half of -- I mean we already owned half of that before the 2001 transaction.
Operator: Your next question comes from the line of Brian Yu with Citi.
Brian Yu – Citigroup: Congrats on the solid quarter to you guys. First is Rich, FCX guys are typically measuring their language and on the oil and gas side with the shelf assets you changed the wording from initiated process to divest to evaluating alternatives including possible divestment. Does this signal a change in plans? And then as a follow up to that, you did your second half oil and gas volume guidance what's the thought or how should we think about you guys maintaining the 2014 volume at 57?
Richard Adkerson: Okay. I'm going to let Jim comment on it, but we have in the process of looking ourselves the shale properties. Given the marketplace out there it's a set of assets that doesn't have a huge number of buyers and we're looking at what make sense for us going forward. The volumes going forward do not include the shale volumes just as a point of information. But Jim -- and so we're looking at a number of different possibilities there. Jim you want to comment on it?
Jim Flores: Sure, Richard. Thanks. On the shale sale, one of the interesting aspects of it is basically the companies [indiscernible] smaller and the financing constraints are there. There is a lot of behind pipe reserves and upside that we're trying to drive some type of value structure to get what we think is representative, what we know is representative value. Basically re-completions are not flowing right now. And so we are debating entirely whether we just might be better to continue to operate those fields a little while and get those big wells on and then look at selling some other later date. I mean a later date within months or maybe next year type thing. So nobody is in a distressed situation but we are trying to make sure we representatively look at the value from a standpoint of what's best for the FCX shareholder. So that debate is going on, at the same point in time we did have a robust process. We have got several people that are flipping documents to try to push towards getting something done this year. So that's going to be also chairman discussion -- board discussion later this fall, what we exactly do. Now as far as the guidance for '14 going forward, there is a lot of operations that we are going to be doing in '14 that provide volatility to our production numbers we're going to shut in a couple of platforms for a period of time to do platform modifications to prepare for a long-term production growth for all set fields coming into those fields in the Gulf of Mexico. The actual start date of our Lucius production, obviously we have our storm shut-ins put in our planning. So, we think while it’s a pretty conservative number, as far as growth and so forth, we think with the volatility in operations it’s a number that we feel comfortable with putting out. But with operations going smoothly and a quiet storm season, our numbers could obviously be significantly higher next year in actual but as far as the planning process, you know, this business is one-quarter all of its part being part of Freeport, so I would say we’re conservatively modeling and awarding, we just kind of have to enjoy the upside on a quarter-to-quarter basis going forward.
Richard Adkerson: Thanks. Brain, as I indicated with all these things, we’re in the fortunate position of not having to do anything. So, as we look at these alternatives, we want to generate cash, reduce debt, we’re challenged to do it and we’re going to work to meet that challenge but at the same time we look at the fundamental economics and make decision on what creates the best values for shareholders.
Brian Yu – Citigroup: Okay. That makes sense. Great. Thank you.
Richard Adkerson: Alright. Thank you.
Operator: Your next question comes from the line of Curt Woodworth with Nomura.
Curt Woodworth – Nomura: Richard, you commented that your sense of the market surplus next year in the copper market would be relatively small in relation to the overall market size, I’m just curious what do you view the level of surplus to be next year or what’s kind of the, you know, over/under, if you will, what would be manageable for the market in terms of surplus?
Richard C. Adkerson: Well, Kurt, as I think most of these people on here know, one of the things that all my experience in this natural resource business has been is to not make predictions like that. And literally, as a company, we don’t run our business on any sort of particular predictions on short term movements. You know I read the same analyst reports that are out there. I was at LME. And I was sort of struck by the two different views at LME, a lot of people with investors and who follow the investor community were really pessimistic about metals in general and about copper because of this expectations of supply coming on stream, then as I talk to end users and customers and traders and other company CEOs, you know, the theme that came back was, hey, demand is stronger in 2013 than we expected, premiums are strong. When you get and look at a number of these projects, you know, while Escondido and Grasberg are performing well, the timing of when other projects come on is uncertain, that’s been a feature of the industry forever. So, when I look at the most recent book on CRU outlooks, I see relatively small surpluses that could swing one way or another depending on what happens. So, I think the story is, is even as the situation of where there’s as much concerns about the global economic market, about new supplies and we see a copper market in fundamental that’s relatively tight. We’re prepared for whatever comes down the pike. I mean, we have a flexible set of assets that allows us to make a lot of money if prices are strong. And as we’ve shown in the past we can adjust to deal with prices that are weak, if that is something we have to deal with. My point is, that the longer-range story about the copper business is intact. Demand from global development and global economic growth over time will be strong and supplies will continue to be challenged.
Curt Woodworth: Okay. That’s helpful and then just a follow-up for Jim regarding Davy Jones and Blackbeard in terms of going to completion in ’14. Can you just give us an update on where you are currently and maybe more specifics around the exact timing in ’14 you expect for those two?
James Moffett: It’s pretty much fun and loaded. I think all three, Davy Jones, Blackbeard West and Lineham all are scheduled in the first half of the year, the only thing is if we have extensive testing in one area it may delay West Blackbeard because it’s a Saskatchewan rig operation between Davy Jones West, it should start right at the beginning of the year and if we do extensive test here in Davy Jones too it may much likely toward the second half of the year but that lineup is scheduled for the first half of the year as well.
Curt Woodworth: Okay. Thanks.
Operator: Your next question comes from the line of John Tumazos with John Tumazos Very Independent Research.
John Tumazos – John Tumazos Very Independent Research: Today's results seem to suggest that the performance of the four geographic regions of FCX copper operations are improving. And also most of the regions of the oil and gas group. Looking forward to the December and March quarters, should we expect each of the four regions of the copper business and the energy business to improve more? This is my first question. And second, can we infer that you're spending about $100 million a month at Cerro Verde based on the third quarter spending rates or will they accelerate a little more?
Jim Flores: Okay, with the copper business we have given you the guidance for the fourth quarter. So you can see that. We'll still have some issues in South America that we are recovering for in terms of some higher -- some ore at Candelaria that's harder than expected. We've had some issues in managing our leaching operations at El Abra that we're working away through that it will take some time. So you'll see that going into 2014, which we will give more specific guidance on at our next call. We have some unsequencing issue earlier in the year at Grasberg so that, that will affect first quarter operations there with significant improvements as we go throughout the year there. So John, the overall situation is very good. My top off the head things says you number it, at Cerro Verde it’s pretty good. We are 80% complete with engineering. We've ordered a lot of the equipment. We spent about -- over $1 billion and we've got commitments for another $750 million or so on a $4.5 billion project. So that -- some of that spending is not smooth but chunky but now we're going to be incurring labor costs for construction. So in general terms there and then we've got our new mail [ph] coming on stream in 2014 and Morenci that will be a very positive for us. And Jim, do you want to respond to the oil and gas side of question?
Jim Flores: The oil and gas side John is again like a volatility and operations next year, we're in the process of starting our drilling rig and our Holstein field but waiting on three drill ships to show up. And so, we can really get into our need of our development and our offshore business and that will be shown up on the next 18, 20 months. And at the same point in time, we'll be correlated with our platform modification. So I think what you'll look for is a year that's hopefully got a quiet year operationally other than some exploratory wells and some beatings from production guidance because operational execution is going very well. But starting May '14, '15 a tremendous production ramp up in the decade to our Mexico business is basically what I saw at the analyst meeting back in June, will become realized very quickly. So a lot of work being done in 2013 and '14 to prepare for '15 through 2020 to realize the value.
Richard Adkerson: Our business across the board is a long-term business. We operate on long-term plans, we execute on a long-term basis, quarter-to-quarter fluctuations occur for any number of reasons. It's great we have a very good quarter across the board this time and we feel very good about our outlook and about our progress we are making for achieving our long-term plans.
Operator: Your next question comes from the line of Oscar Cabrera with Bank of America/Merrill Lynch.
Oscar Cabrera – Bank of America/Merrill Lynch: Richard, it is great to see a strong execution across the board and all the businesses. Just wanted to get back into the Grasberg contract of work. Believe last conference call you mentioned that your expectations of resolving or reaching an agreement with the Indonesian government by the end of this year. I was wondering if that's still the case.
Richard Adkerson: Well, what I have said and I still say is that a number of people of the Indonesian government are targeting getting this completed by the end of this year. I'll also say a number of people we are targeting for getting it complete by the end of 2012. So, we are anxious to get this resolved. We are going to work very cooperatively with the government to get it resolved and we hope that it will resolved by the end of this year. Indonesia is facing a Presidential election next year and the closer you get to that election, political situation becomes more prominent and in many ways more complicated. We are going to represent our shareholders and we are going to work cooperatively with the government to find a common ground so that both parties feel that they are satisfied with the results of this. I would say the government is targeting this year we hope that it gets done and we'll work to achieve it. But we'll just have to see how what actually happens. I will say we are very -- our contract has firm legal standing, nobody denies that. And so at the end of the day that provides the basis for our rights to operate there and our rights to go forward.
Oscar Cabrera – Bank of America/Merrill Lynch: Yes, and just we still believe that that's one of the large portion of the catalyst for us though and secondly interested in your comments on the front page of your release where you talk about the opportunities to accelerated de-leveraging of the balance sheet, which I think is good. Joint venture transactions, can you just provide more color around this? You're talking about any type of asset, are you focusing more on the oil and gas side, any help there would be great?
Richard Adkerson: Well, joint venture structures allow you to have a lot of flexibility and creativities to how you can get together with someone who has some objectives and look at your own objectives and come up with something that would make sense for both parties. That would be opportunities across the board with our business and when you look back at Freeport's history, you can find cases. For example our partnership at Grasberg with Rio Tinto was a case study. We've had joint ventures with Sumitomo at a number of our operations. We have a partnership [indiscernible] and the same way with oil and gas business which joint ventures are featured across the board in that industry. There is an interesting financing structure that Jim and his team put together for Lucius. The operator Anadarko has done things so that's it's such a broad range of ideas as that we mentioned that as a way of having the flexibility of bringing in someone with financial way with all and objectives that you can be very creative about how you can match them up. And there is no particular formula or no particular thing that you can say with the specific outcome but in the range of things, sometimes joint ventures are a way of bridging differences of views of values and gives you a way to deal with the potential interested and willing partner and bridge value consideration. So it’s a feature of the natural resource business an opportunity for us.
Oscar Cabrera – Bank of America/Merrill Lynch: Yes just interested in like there is more Chinese companies and SOEs getting into joint ventures in different parts of the world like the U.K. in uranium and now the potential purchase of Las Bambas. So would you consider Chinese partners in all these?
Richard Adkerson: Yes, we consider partners that would give opportunity to meet our objectives, and if the Chinese partner would do that then we'd certainly consider.
Operator: Your next question comes from the line of Mitesh Thakkar with FBR.
Mitesh Thakkar – FBR: Just a quick question on your hedging strategy. It looks like you haven't done any hedging lately on the oil and gas side. Are you maintaining the original hedging strategy or it there any change to that? Should we see any potential hedging going forward?
Kathleen Quirk: There has been no change since the acquisition. It's something that we monitor. The oil and gas markets are much more liquid than the copper markets and we are -- sometimes the positions we have, we think are good positions as we are working on delevering. But as we go forward we’ll look to see what makes sense for the combined company. We do buy – you know, we do have a lot of oil and gas consumption in our mining business. So, we’ll take that into consideration as well but in terms of the structure we’ve got a position through 2015. And like I said we’ll continue to monitor the markets but for right now that’s what’s in place.
Mitesh Thakkar – FBR: Okay. Great. And just a question on the moly side. There are some comments in the press release that you’re looking at maybe lowering your primary moly production; can you just kind of give us an update because I think you still make a little bit of margin on that business, any thoughts on that?
Richard Adkerson: There are lots of thoughts. We’re the world’s largest moly producer in the lowest-cost. You know, we have significant moly coming as byproducts out of our mines and as we look forward to Cerro Verde there is incremental moly volumes there, some at our other potential expansion projects, and there’s other byproduct moly come into the marketplace. We’re in a position with our Henderson and our Climax mines, which are sole moly producers, to monitor our production levels there to be responsive to the marketplace. And so that’s what we do and what we are doing. Moly markets have been weak and we’re heavily involved in the downstream side of that business, so we’re right on top of what our customers want. We have a greater percentage of the higher volume chemical moly business in the industry as a whole. So, we’re just going to be responsive to what the market needs. And that would come from swing production from Henderson and Climax.
Mitesh Thakkar – FBR: Okay. Great. Thank you very much, guys.
Operator: Your next question comes from the line of Adam Duarte with Omega.
Adam Duarte – Omega Advisors: Good morning, guys. Given the completion schedule you have for the ultra-deep wells, when do you actually expect first production and first cash distribution through the royalty trust?
James Moffett: Adam, I think we can give you a better schedule once we have the wells tested. That’s the thing, so. I mean, we are in a infrastructure prone area in the shallow part of the Gulf of Mexico, so I would hope that we have some completions in the first half of the year, we have production on by year-end ’14, but that’s just a guess at this point. There is a lot of engineering between me and that guess.
Adam Duarte – Omega Advisors: Understood. So, basically no change relative to what we’ve been talking about for the last three months, call it, around these wells and their scheduling?
James Moffett: I think Richard said it best. These projects are long-term and we’ve got a schedule and it’s very, very hard for us to change those schedules because they’re such – the size of the project that, you know, they’re going to follow their own paths, that’s the best that we can give.
Adam Duarte – Omega Advisors: Got it. Thank you. Good luck to you.
James Moffett: Thanks.
Richard Adkerson: Thanks a lot, Adam.
Operator: You next question comes from the line of Joe Allman with JPMorgan.
Joseph Allman – JPMorgan: And, Jim, in terms of the production outperformance for the long gas assets, in the press release you mentioned some well stimulation activities, could you speak specifically to what you’re referring to there and I guess some of the outperformance just came from no real hurricane activity?
James Moffett: Well, Joe, lot of us, like our Eagle Ford continues to outperform. You know, the premium 60,000 acres we got there right in the heart of the watermelon is continuing to be spectacular. We are reducing our rig count out there, just from the standpoint of trying to derive more free cash flow out of that and reap the benefits of the production climb to 50,000 barrels a day, so. But that was a spectacular quarter in the Eagle Ford. And then on to the well stimulation, our hosting platform. We had a belief in the initial reservoirs at Holstein were impeded from their ultimate production because of basically migration of fines and skin damage on the wellbores and we – for instance, one well we had – it was producing about 1,200 barrels a day, we hit it with some xylene and acid wash and it started producing over 7,000 barrels a day and the tubing pressure increased about 50% as well. So, that’s pretty spectacular. We’re going to continue to maintain and go through the reservoirs that we have. But anytime you can take the production from Holstein from 9000 barrels a day to 18,000 barrels a day without drilling or re-completing the well, you've done some really good things. So hats off to the guys and gals involved in that project and we have a lot more to do out there. So excitement is running and confidence is running high.
Joseph Allman – JPMorgan: That's helpful and then back to the MLP option. I know it's fairly early stage in thinking about it but what are you looking to achieve and in fact you do pursue an MLP option and what would be some of the negative especially in terms of -- I guess it would be difficult to get a tax basis step up if you just drop it down and have your own MLP?
Jim Flores: The aspect there is no impediments, the benefit looking for you've got a company here with a 100 year copper reserve, or 50 year reserve, 50 year oil reserve and we are trading at 5 times or something at that. So if we can capture value by driving we think a representative value for the assets, maintain we don't need more assets we've got plenty assets, we need the representative valuation. So that's what's driving all of our discussions and MLP is part of that discussion on all sides. The extraction business does cover not only oil and gas, it covers copper and we've got excellent MLP-able type assets across the board. So it's -- Richard gave an insight of what our discussions have been like when he talked about joint ventures there. They are far ranging and we're going to find the answer here that will be visible in the market place as well.
Joseph Allman – JPMorgan: Okay. Great. And then just lastly on the deep shale Lineham Creek, I think Chevron was looking at a primary target below 25,000 feet. It sounds as if maybe things didn't work out there and you are really focused on completing above 24,000. Could you just talk about that and then also Davy Jones 1 have you basically abandoned that well and just moving on to Davy Jones 2 at this point?
Jim Flores: I think what you are misreading in the press release about above 24,000 more of an engineering, trying to focus on that we are going to be able to get the well at Lineham pretty closer. We were very articulate that we found San Diego [ph] sands in the 23,000 foot is a new sand horizon for the ultra-deep play and the log indications look to our favor for establishing production. The aspect of drill deeper and we are having some drilling problems, we're all elected not to go deeper into the lower tertiary, we decided to take what we had right here. And let's see if we can develop large structure and maybe that can develop a new trend for us. So, it's a geological engineering coordination discussion, it wasn't based on any kind of disappointment in the ultra-deep. Now on Davey Jones one, at this point we are not -- we don't have any operations planned. We are studying the operation of fracing the zone or whatever. We want to get the results of Davey Jones 2 and not only the lower territory but the cretaceous before we decide whatever plans we're going to have for Davey Jones 1 going forward. We're really pleased to see all these interesting questions times going on so if we don't get to your questions or we answer them too shortly we will get with David and we will follow up with you. But let's say if we can take a few more very quickly
Operator: Your next question comes from the line of Paretosh Misra with Morgan Stanley
Paretosh Misra – Morgan Stanley: Question for Jim, at Gulf of Mexico your production rates went up sequentially and you highlighted couple of reasons. Is there you should expect that to be sustainable in the fourth quarter also the current rate?
Richard Adkerson: We've got guidance on the fourth quarter, we're supportive of that guidance. It's an orchestra of lot of ins and outs. And we continue to have positive execution by our people. So at this point in time we're all confident of being able to continue to show their good stuff, the assets are certainly performing, the people are performing, so the outlook would be positive there but there is nothing more tangible than that.
Paretosh Misra – Morgan Stanley: Got it. And at Eagle Ford, you still expect production to start declining because of some of the CapEx cuts you made, right.
Richard Adkerson: Yes, it’s correct. We are going to start harvesting free cash flow out of that field and as our rig count drops it will be maintained somewhere I think around 30,000 barrels a day next year as what our rate is. And we can add -- average rigs if we want to add production volumes or cut depending on what our cash flow and our CapEx requirements are.
Operator: Your next question comes from the line of Brian MacArthur with UBS.
Brian MacArthur – UBS: I just want to follow-up on Grasberg. We've a talked a lot about you got -- you had a labor contract productivity you hopefully improve. With that, is there any possibility of accelerating the development going forward of the underground, because obviously post 2016, there is a big transfer and you give us long-term guidance about where production is going to go. But I imagine just with all the uncertainty there, I just kind of want to get an update on where the development is going forward for that.
Richard Adkerson: Well Mark Johnson is here but the development is going very well. We were able to -- we had some delays resulting -- following the Big Gossan training room incident. But we’ve really actually to date made up for some of the down time we had there. And so we've got aggressive schedules to bring in the Grasberg Block Cave to be prepared to begin production as we complete mining from the pit. We are still looking at roughly the end of 2016 for that and then the Deep MLZ extension to the DLZ complex is scheduled to come on stream in advance of that. So, we are putting optimal amount of resources. There is just practical limits to doing that but it's all going well and our long-term plan is intact.
Brian MacArthur – UBS: And can I just ask -- should I still -- I think historically you used to talk about $550 million to $600 million a year to do that going forward. Is that still a reasonably good number?
Richard Adkerson: Yes.
Operator: Your next question comes from the line of Ralph Profiti with Credit Suisse.
Ralph Profiti – Credit Suisse: Just a quick one. Richard, you mentioned power deliveries running into problems in Africa towards at the end of the quarter. Are these the normal availability and volatility that we've seen in the past and if you can touch on whether or not industrial users have been asked to ration power in the DRC and what are those sort of September and October production numbers looking like?
Richard Adkerson: Well, actually we have had some experience with power problems in the past but they have been much more pronounced here at the end of September. We had invested in hydroelectric power supplies. We have a contract but there have been issues on the grid of power availability from Zambia. There is increasing requirements for mining activities in Katanga and the government has not kept up with maintenance activities and that resulted in curtailments. And so we have experienced those. I spoke with the mines minister and he committed that everybody in government is working to resolve these. There are some longer term solutions that we and other miners are working for. Fundamentally, there is lots of opportunities of hydroelectric power development in that country and there are other alternatives being considered. And we are working diligently on it. But it is a challenging issue for the mining industry. In general, we think we are relatively placed in a relatively favorable position but we are working hard to see what we do it -- it's improved somewhat this month in October but it's an issue.
Operator: Your next question comes from the line of Carly Mattson with Goldman Sachs.
Carly Mattson – Goldman Sachs: My question is regarding the formal PXP bonds and the equity clause given Freeport's current cash balances and cash outlook for this year. Does it makes sense to think that the likelihood of Freeport considering either issuing debt or going down in the revolver to fund the equity cost on the debt have increased or how should we think about that?
Kathleen Quirk: Carly, this is Kathleen. We are very focused on those equity clause and the opportunities there and we are going to look at a variety of options to take those out, whether it be for modernizations or refinancing. So we are focused on taking advantage of the economics of those.
Richard Adkerson: Refinancing is a good option, not so much just drawing down on our credit facility costs, that's a cushion that we want to have available for whenever we need it.
Operator: Your final question comes from the line of Harry Mateer with Barclays.
Harry Mateer – Barclays Capital: I guess first just a follow-up on Carly’s question. So there seems to a lot of confusion and different views out there about when you have to exercise that equity call out if you chose to do so. Can you just clarify for us is there a six month window you have to do that in from timing of the merger completion date which I think it could be end of next month or is that not the case? And secondly on the potential MLP, do you consider an MLP to be a de-leveraging event given that often times it can just be moving debt from sort of one box to another? How do you think about that in relation to actually taking your debt balance down versus other options you have on the table such as asset sales?
Kathleen Quirk: Regarding the first question, the call expires three years after when the bonds were issued. And so, they are varying expirations. Most of them are in 2015. We've got one in a smaller piece in 2014 but it's three years from the date of when PXP actually issued those notes. In terms of the MLP situation as we look at that we'll look at it as a way to enhance the overall credit profile of the company and so we'll look at how to do that in terms of bringing in proceeds in a value accretive way and looking to use those proceeds to retire debt at the parent. So we're looking at both from a credit standpoint as well as an overall value standpoint.
Harry Mateer – Barclays Capital: Okay. And so the equity issuance that would count for purposes of the equity clause you can just do that anytime in the next couple of years.
Kathleen Quirk: Yes it's really the equity been put down from the parent to the FM O&G subsidiary that's the equity event.
Richard Adkerson: All right. Well thanks everyone for all your interest and participation and we look forward to speaking with you as we rest in the future.
Operator: Ladies and gentlemen that concludes our call for today. Thank you for your participation. You may now disconnect.